Operator: Greetings. Welcome to CoreCard Corporation Q1 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to our host, Matt White, CoreCard Corporation's Chief Financial Officer. Thank you, Mr. White. You may begin.
Matt White: Thank you. Good morning, everyone. With me on the call today is Leland Strange, Chairman and CEO of CoreCard Corporation. He will add some additional comments and answer questions at the conclusion of my prepared remarks. Before I start, I'd like to remind everyone that during the call, we will be making certain forward-looking statements to help you understand CoreCard Corporation's business environment. These statements involve a number of risk factors, uncertainties, and other factors that could cause actual results to differ materially from our expectations. Factors that may affect future operations are included in our filings with the SEC, including our 2024 Form 10-Ks and subsequent filings. We'll also discuss certain non-GAAP financial measures, including adjusted diluted EPS and adjusted EBITDA, which is adjusted for certain items that affect the comparability of our underlying operational performance. These non-GAAP measures are detailed in reconciliation tables included within our earnings release. As we noted in our press release, our first quarter results exceeded our expectations with higher than expected professional services revenue primarily from our largest customer, Goldman Sachs. Our revenue growth excluding Goldman was in line with our expectations. Total revenue for the first quarter was $16.7 million, a 28% increase year over year, driven by higher professional services revenue as I mentioned previously. The components of our revenue for the first quarter consisted of professional services revenue of $8.7 million, processing and maintenance revenue of $6.3 million, and third-party revenue of $1.6 million. As expected, we did not have any license revenue for the quarter and do not expect any license revenue for the year. The higher professional services from Goldman were a function of higher managed services rates from the contract amendment we signed last October and continued high levels of development professional services from Goldman. Processing and maintenance revenue grew 3% year over year. One of our customers was acquired a couple of years ago and subsequently terminated their contract, resulting in approximately $500,000 of accelerated revenue in the first quarter of 2024. Excluding this one-time item and the impact of Q1 2024 legacy CABG revenues, processing and maintenance growth was 16%. Revenue growth excluding our largest customer was 8% in the first quarter on a year-over-year basis. Revenue growth excluding our largest customer and the impact from the legacy CABG business and the $500,000 of accelerated revenue in the first quarter of 2024 that I previously mentioned was 23% in the first quarter on a year-over-year basis and is expected to be 30% to 35% for the full year. This is in line with our expectations for the first quarter as we expect revenue growth ex-Goldman to accelerate as we move through 2025. As existing customers increase the number of accounts on file and as new customers go live, we do have a potential headwind from the sale of one of our customers, Deserve, to Intuit. Deserve represented less than 3% of our total revenues in 2024, and we expect just over 2% for 2025, with a lot that already recognized in the first quarter for which payment was received in May 2025. We continue to onboard new customers both directly and through various partnerships we have with other program managers such as Fervent and Cardless. As in previous quarters, we currently have multiple implementations in progress and new customers we expect to go live in the coming months. Turning to some additional highlights on our income statement for the first quarter of 2025, income from operations was $2.8 million compared to $0 for the same period last year. Our operating margin was 16.8% compared to an operating margin of 4% for the same period last year. The year-over-year increase in our operating margin was primarily driven by higher professional services revenue. The income statement impact of our new platform build was $800,000 in the first quarter of 2025 compared to $700,000 for the prior year period. We have kept our headcount steady and expect to continue growing our revenues without significant increases in cost. Our Q1 2025 tax rate was 24%, compared to 25.7% in Q1 2024. We expect our ongoing tax rate to be between 24% and 27%. Earnings per diluted share for the quarter was $0.24 compared to $0.05 for Q1 2024. Adjusted diluted EPS for the quarter, excluding stock compensation expense, was $0.28 compared to $0.07 in Q1 2024. Adjusted EBITDA was $4 million compared to $1.7 million for the first quarter of 2024. For the full year 2025, we now expect revenues to be between $65 million and $69 million and earnings per share between $1.10 and $1.18. As mentioned earlier, we expect growth from customers excluding our largest customer, and the impact of the legacy CABG business and the $500,000 of accelerated revenue in the first quarter of 2024, to be between 30% and 35% for the full year. For the second quarter of 2025, we expect total revenues between $16.2 million and $16.9 million and earnings per share between $0.23 and $0.28. We expect professional services revenue to be between $8.4 million and $8.8 million for the second quarter of 2025. And with that, I'll turn it over to Leland, who has warned me that his comments will be pretty short this quarter.
Leland Strange: You know, thanks, Matt. For those of you that read my letter that went out with the shareholder or with a proxy, I said I was tempted to start the 2025 letter as just more of the same. Well, this morning, I pulled up the transcript of our last earnings call, and after reading it, I'm tempted to say even for this call, just more of the same. You can only say the same thing so many ways. Our quarter was good. We expect the rest of the year to be equally as good or better. And that really summarizes the business. The two questions that we get most often are about succession or company acquisition, and about our largest customer. I'll repeat what I said in the last call and in the shareholder's letter. First, about succession and acquisition. We get up and go to work every day, run the company as if it's going to be independent forever. We make every decision under that light. But we do work for shareholders, and we'll always try to do what we feel is in their best interest. As a part of that equation, we may not be independent forever, and we're constantly evaluating opportunities. The board of directors is active in those discussions, as well as things about my successor if we should choose to stay independent, which frankly, both options are good, and they're actually on the table. And on to the risk with our largest customer, I really have nothing new to report. I speculated in the past and continue to speculate. And, frankly, if I had information that would preempt my speculation, I'd be unable to talk about it. I referenced this in my shareholder letter, and nothing has changed. Of course, if there was a material event, we would report it as required under SEC rules. So today, from what we know, nothing to report. We would hope to continue being a part of the most successful Nucor program for a very long time. That really concludes my more of the same remarks. We had a good quarter. We expect to continue that result the rest of the year. And I can say I wish I personally owned more stock. With that, we're happy to take any questions you might have.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. Participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question comes from Hal Goetsch with B. Riley. Please proceed with your question.
Hal Goetsch: Hey. Thank you, guys. Solid quarter and pretty cool progress. I wanted to get your thoughts on the card issuing industry with, you know, the global payments spin-off of their card issuing business to FIS and that deal will maybe close next year. But it looks to me like some serious consolidation. I was wondering if you could give us your thoughts on the disruption that might cause, maybe new issuers to work with them or how that might benefit you if you could share your thoughts about that, that'd be great. Thanks.
Leland Strange: I'd be happy to, Hal. I think it's probably a good move on the part of both parties. They've found natural homes. In terms of disruption, I expect it not to be major. Now I do expect a little bit, but I don't expect it to be major disruptions. I think that, you know, I think it's pretty much business as usual. So again, I think it's a good move. I expect us to find a little opportunity there, but I wouldn't overplay it and expect to have a whole lot of opportunity.
Hal Goetsch: Okay. Terrific. Alright. Matt, can you just I look. For some reason, the conference call was a little garbled on my end. Could you share with us to make sure I got the number right? Expected growth ex-Goldman this year? Was it I just want to make sure I heard about 35%? Okay. Thirty-five percent. So pretty consistent with our previous guidance. Okay. Good. Alright. Thank you. Thanks very much, guys.
Operator: Thank you. Our next question comes from the line of Avram Fisher with Long Cast. Please proceed with your question.
Avram Fisher: Hi. Good morning. Thanks for taking my question. Wonder if you could elaborate a little bit on the Intuit purchase of Deserve. The press release that Intuit put out was a little bit opaque. But everything they described about what they were buying seemed to describe what you've offered to Deserve. So just kind of do you have any color on are you going to be doing any work for Intuit anymore, or is your relationship with Deserve kind of over? Just elaborate a little bit on that, please.
Leland Strange: Sure. We have no more information than what you described as an opaque press release, which we would also agree with that description. I suspect that our business with Deserve will really roll off over a period of time. We're not in discussions with Intuit. We don't expect to have any with Intuit.
Avram Fisher: Okay. And this is already incorporated into your guidance for the rest of the year?
Leland Strange: Yes. It is.
Matt White: Yes. It is. That's right. We kind of described that as a potential headwind. So it's a little bit of an unknown at this point, given the lack of clarity as to how that relationship will look going forward. So we're being a little cautious potentially, but you know, we did bring down our forecast for that customer in particular, given the uncertainty.
Avram Fisher: Okay. Got it. I have two just two other quick questions. I was a little surprised at the strength of Goldman revenues. Like, how much of that is the repriced and how much of that is they're using more hours than they had in the past?
Matt White: Well, some of the comparison of the first quarter of last year out of the first quarter of this year. So you know, if you compare it to Q4 of last year, it's pretty consistent in terms of the amount of hours or the revenues where they're paying us by the hour. So a lot of the increase is just the one last year versus Q1 this year. Then the rest of it is the higher managed services rates. So it's a combination. But for Q1 year-over-year versus Q1 this year, it's all managed services rates.
Avram Fisher: So is this the run rate expected going forward sort of?
Matt White: This is what we expect for the rest of 2025.
Avram Fisher: And then finally, there was a little new note in the quarter about employee retention with a particular callout about, you know, there's an acquisition been put for 2028 of a company with a billion-dollar market cap. It seems oddly specific. I wonder if there's any if you could offer just any color around that.
Leland Strange: Yeah. It's it should be perfect there. Around it. You go well, I mean, obviously, we wanted to keep our employees, so we put a retention plan in. And what are the concerns of employees? It's just our size. You know, we're a small company. And we've had some of the larger companies poach our employees. And each of those companies are larger than a billion dollars. And so we ended up saying, hey, guys. You'll be pretty safe if we were to be bought by one of those companies that we're losing employees to. So but we're going to give you stock to try to keep you, but we don't think it's necessary to continue to do that if we're bought by a certain company. So that's all it was.
Avram Fisher: Alright. I appreciate the color. Look forward to seeing you at the annual meeting. Thank you.
Matt White: Take care. Thank you.
Operator: Thank you. We have no further questions at this time. This does conclude today's teleconference. Thank you for your participation and have a wonderful day.